Operator: Greetings and welcome everyone to the Calix First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the brief prepared remarks. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jim Fanucchi, Vice President of Investor Relations. Sir, please go ahead.
Jim Fanucchi: Thank you Paul. And good morning, everyone. Thank you for joining our first quarter 2023 earnings call. Today on the call we have President and CEO, Michael Weening; Chief Financial Officer, Cory Sindelar; and Chairman, Carl Russo. As a reminder, yesterday after the market closed, Calix issued a news release which was furnished on our Form 8-K along with our stockholder letter, which was also posted in the Investor Relations section of the Calix website. Today's conference call will be available for webcast replay in the Investor Relations section of our website. Before I turn the call over to Michael for his opening remarks, I want to remind everyone on this call, we will refer to forward-looking statements, including all statements the company will make about its future financial and operating performance, growth strategy, and market outlook and actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause actual results and trends to differ materially are set forth in the first quarter 2023 letter to stockholders and in the annual and quarterly reports filed with the SEC. Calix assumes no obligation to update any forward-looking statements, which speak only as of their respective dates. Also in this conference call, we will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in the fourth quarter 2023 letter to stockholders. Unless otherwise stated, all numbers referenced in this call will be non-GAAP measures. With that, it is my pleasure to turn the call over to Michael. Michael, please go ahead.
Michael Weening: Thank you, Jim. As the Calix evolution continues, I wanted to start this call by sharing my view on why Calix is performing in a very different manner than the market in general. Three consecutive years of greater than 25% growth and, as Cory will share, raising annual guidance for 2023, nine consecutive quarters of sequential growth, three consecutive quarters of gross margin expansion as supply headwinds abate, zero debt and a pristine balance sheet which will see cash grow at an accelerated rate. These are clear indicators the Calix team is executing our strategy in a predictable and disciplined manner.  More importantly, it is making it clear that Calix is alone in a new market. This new market is made up of broadband service providers who are building consolidated networks and efficient end-to-end operations that yield incredible margins. This new market has BSPs leveraging data and insights from our platform and clouds to build an entirely new business model, where they are the center of the home, the center of business and the center of the community through the power of our managed services that grow revenue and customer satisfaction to record levels.  BSPs continued to add subscribers and grow their business in Q1 through the power of the Calix platform, clouds and managed services. The land and expand nature of our business was on full display in Q1 as we landed 11 new BSPs and expanded platform adoption as 38 BSPs adopted one or both of the Revenue EDGE and the Intelligent Access EDGE. This brings the total number of BSPs deploying our platforms to 988.  In Q1, 21 BSPs adopted one or more of our clouds, bringing the total number of cloud customers to 865. And perhaps the most important evidence that this is a new market is the growth of BSPs deploying one or more of our eight managed services. In the first quarter, 41 BSPs began differentiating their offerings by launching one or more of our managed services. This is the fastest pace in the last five quarters and brings the total number of BSPs with managed services to 334.  On that note, I'll now hand it to Cory to expand on the Calix team's performance in Q1. Cory? 
Cory Sindelar : Thank you, Michael. Calix team executed well across the board as we delivered our ninth consecutive quarter of sequential revenue growth, with record quarterly revenue coming in at $250 billion, which was modestly above the high end of our guidance range. As we have said before, we believe our supply chain will normalize over the course of 2023, and so it did.  Vendors, for the most part, are meeting their delivery commitments. And we are starting to see lead times shorten. Consequently, this allowed us to continue to reduce our purchase commitments to $306 million, which were down $335 million from year-end. And we expect our free cash flow to improve significantly as we invest less in inventory.  The improving supply chain has also allowed us to reduce our lead times to customers and to work with them to shrink their inventories as well. The consequence of this work was a sequential reduction in our Revenue EDGE system shipments within our small customer segment.  At the same time, our large and medium sized customer segments increased. Specifically, we saw strength from a large platform customer and continued shipments to a recently acquired medium customer, which contributed to the Intelligent Access EDGE record revenue in the first quarter.  In sum, our platform model provides us with a view of end subscriber demand, which enabled us to work with our BSP customers to optimize their inventories. This enables us to perform in a predictable manner and forecast what we expect will be our 10th consecutive quarter of sequential growth.  Based on our first quarter revenue over performance and the expected sequential increase in our second quarter revenue, we currently believe our annual growth for 2023 will be between 15% and 20%.  Back to you, Michael. 
Michael Weening : Thank you, Cory. In closing, I will call your attention to two additional data points that further amplify that Calix is on a mission in a new market. First is the talent that we are attracting to our team. Industry leaders like John Durocher, who joined from Salesforce as the Chief Customer Officer, are joining because they are inspired by our purpose driven culture, which is enabling even the smallest broadband service provider to simplify their business, excite their subscribers and grow their value for their members, their investors and the communities they serve.  Second is the fact that Calix was recognized by Comparably as the number one best place to work in the Bay Area. In addition, our sales, marketing, engineering and HR teams were ranked top 20 globally because our team members are inspired every single day to help our BSP customers transform the communities they serve by empowering families, students, and local businesses to thrive.  More than ever, I'm excited about the future of Calix. As Cory stated, we raised 2023 revenue guidance as we continue to execute in a disciplined and predictable fashion, supported by an enviable balance sheet.  I would like to thank our amazing customers for their partnership, as it's their ideas that are delivered every 91 days when we update our ever expanding platform, clouds and managed services.  I would also like to thank our partners and Calix team members for their continued support and dedication as we execute on this once-in-a-generation opportunity.  Jim, let's open the call for questions. 
Jim Fanucchi : Operator, let's go to Q&A.
Operator: [Operator Instructions]. Our first question is from Christian Schwab with Craig-Hallum.
Christian Schwab: I guess, first of all, congrats that macroeconomic uncertainty hasn't significantly affected your customers' spending patterns, like your peers. So congrats on the continued business transformation and a different value proposition. With that, Cory, would we expect continued sequential revenue growth throughout the remainder of the calendar year from June?
Cory Sindelar: The simple answer is yes. Your expectations, obviously with the macro environment, that outlook in the second half of the year is murky. But our expectation is that, yes, we'll continue to grow, but at a at a very small base. 
Michael Weening: I would add one thing to that, Christian, as you saw in the investor letter, Cory clearly called that out, and we've always said this is one of the transitions that we have gone because we're on a new mission in a new market. And part of that is moving away from that legacy model, which is highly cyclical, and it's moving into a sequential business.
Christian Schwab: Can you give us a little bit of clarity on the large customer activity? Your revenue in the March quarter was the largest for greater than 2.5 million subs in years. Is this the beginning, potentially, of an inflection point? I ask that because we kind of saw the beginning of the inflection point in the medium base customers. Over the last two years, that went from a $35 million business to a $52 million business to almost $105 million. And I know the story has always been we'll start with the small guys and then the medium guys will figure it out and then the large guys would figure it out. So, is everything going as planned, should we assume? 
Michael Weening: Thank you for highlighting and saying, this is one of those things where technology adoption, start with small customers and work your way to large. In terms of what you've seen in the first quarter relative to our large customers, the increase was with that one customer and they were an existing customer. And I think it's just kind of a lumpy delivery schedule associated with the large customer. I don't think it's an inflection point where you just expect continued growth from that one customer.
Christian Schwab: I know we started the year, previously, at kind of a 10% to 15% growth rate. Now we're moving that up to a 15% to 20% growth rate. And if we even get modest sequential growth from June, we're almost at that 20% range. So, was it just conservatism given the macroeconomic environment, the expectations have been exceeded? Or have you been positively surprised somewhere?
Michael Weening: As we said last quarter, our view of the annual growth rate was a combination of not so much demand, but more of our view of supply chain. And we saw that improve within the quarter. We built a little bit more inventory. We worked through some issues. And so, consequently, we were able to overperform in the first quarter by a little bit that give a little bit more confidence on where we're at with Q2. But I think, at this point, as the supply chain is expected to continue to normalize over 2023, the concern becomes the demand equation in the back half of the year. And so, we're just taking a conservative view of what that might entail. But that being said, demand continues to be strong.
Christian Schwab: My last question. Our objective of growing gross margins 100 basis points to 200 basis points a year, given that lead times are finally normalizing, for lack of a better word, should we be more encouraged that maybe we can start operating to the higher end of that 100 basis points to 200 basis point range as the mix continues to improve and the supply chain costs, not only the cost of the chips procured, but the expedited fee in some cases to get them as we get into 2024 and 2025 or should we just stick to the 100 basis points to 200 basis points?
Cory Sindelar: Christian, I think you're going to want to stay within the ranges provided of 100 basis points to 200 basis points for the year. And you can see we're tracking along that line. In each of the last couple of quarters, we've increased by about a quarter point. And so, I think that we're able to continue through the quarter. I don't think we're at a point where you're starting to see costs come down precipitously, where you're going to see a faster than that rate expansion of gross margins. So, it's still early days. We're still normalizing. And so, we feel better about it, but it's not at a point where I think you'd get to an accelerated pace.
Operator: Our next question is from George Notter with Jefferies.
George Notter: I wanted to ask about the software play here. I noticed that RPOs were up about $7 million sequentially, which is one of the smaller sequential growth numbers you guys had put up in a while. Obviously, it captures just a portion of your software business. I get that. But, conversely, the customer adds look really good as you guys pointed out in the monologue and in the shareholder letter. I guess I'm just trying to better understand how you feel about the progress you're making in software at this point in this quarter in Q1 specifically.
Cory Sindelar: We feel good about it. If you were to go back to the third quarter, we had a similar lower growth sequentially. And everybody was alarmed by that lower increase. And then, fourth quarter came along and we blew past that number. And everybody was like, oh, is this another inflection point. And we've consistently said, contract signings are lumpy and they go up and down. We anticipate RPOs to increase sequentially going forward, but the rate at which it increases will vary from quarter to quarter.
Michael Weening: I'll add in. Look, I spent all of Q1 on the road. All except for two weeks, I was with customers and conferences and CEOs and talking about their business. And what's really great is that we continue to see that our message is landing very strongly with them. In fact, I was with one customer – actually not a customer, someone who in essence has refused to talk to us for 25 years. And with some of the things that are going on at a macroeconomic level, in fact in that individual's case, it was maybe working with regional banks, that's been their only source of funding for their business. When they heard me speak at a conference, we got into a conversation around how do you actually build out a different business model that allows you to attract a radically different type of investment, whether it's private equity or family investors or whatever it is. And if you're just selling a dumb pipe, that's really hard if your margins are really low. But if you're partnering with someone like Calix, not only are your margins going to be significantly higher from an operations point of view, but you're also building incremental ways to monetize that subscriber and grow revenue for longtime.  Tell me what does that mean? Well, that means that when you get that investment, it's going to be at a higher valuation, they're going to be more apt to pay attention to you, all these kinds of things.  So, while RPO is one element of it, I would turn you heavily towards 38 customers adopting one or more of our platforms, 41 people starting on the managed services journey. We continue to see – and I would say that, if anything, the whole dumb box mindset is actually really going to go to the side if customers really understand how much value we bring to the business. So I'm really excited about it.
George Notter: Just to follow up on that. If I look at the differential between managed services adoption, just in terms of numbers of customers, and Calix cloud, obviously, there's still a really, really big gap there. And I get it, it's a land and expand strategy. But maybe talk about what the sticking points are with customers in terms of adopting those managed services. Why can't you get those guys kind of ramping faster? Is it just inertia? Is it some other sort of technology piece I don't appreciate, maybe just kind of talk through that gap? 
Michael Weening: If I was to actually walk through the continuum of moving from being a legacy provider to entering this new market and becoming a broadband service provider who has a radically different position within the home business and the community, it's a journey, right? And so, if you've been in business for 25 years, the only thing you're used to is, you're a construction company, you actually operate a network. And then, as long as you exist, you get customers. And speed is the only thing that you ever talk about.  You're now moving into a scenario, well, first of all, you're reengineering your network and collapsing everything, so you can get 80% higher margins. Then you're saying, okay, well, I have to change my call center, I have to make it so that when I'm doing an install, they're not just going and installing a Wi-Fi router, they're actually talking to the customer, educating on how to use the app. And then my installers, I'm converting them into upsell people, right? So, if Cory is my installer, he's going to say, hey, let's get some app. By the way, do you have children? Would you like to do parental controls, all those kinds of things? It's a completely different market, a completely different mindset.  I would say, if you think about that journey, we're the ones taking them on that journey. And that's why it's really exciting that John Durocher joined the team to lead our customer success army and where dumb box companies don't have success teams because, hey, go do the construction, put it in and sell your pipe whereas Calix is helping them create an entirely new business model. And that's what our success teams do. And that's why we continue to invest. I wouldn't be concerned in any way, shape or form other than this is the beginning. And this is something we've been saying on every one of these calls for ages, right? Look at managed services, and even that number of 334, you should be pushing on it saying, what about underneath of that because there's eight managed services today, we've announced 11, so there's massive expansion even inside of that, right? So, there's all these different ways to grow.  Look, if we can put up these kind of numbers and project higher for 2023 with this early stage of where we are in this new market, you should be very excited about the future.
Operator: Our next question is from Ryan Koontz with Needham & Company.
Ryan Koontz: Great execution on the quarter, obviously. Regarding the small and medium kind of customer set down market and as you think about that driving growth through the rest of this year, what if you could reflect on your conservatism around growth there? And specifically, are you seeing impacts from labor in these downmarket areas and how are the kind of subsidy trends working their way through the processes from RDOF and the ARPA funds which you've seen a lot of announcements of late.
Michael Weening: I'll proactively ask funding because someone is going to ask that question. So there's kinds of investment that come into the market, as we said over and over again. With regards to private equity and family funds investing in these incredible businesses, KKR recently purchased one in the Texas area. You see everybody coming into it. Berkshire is now in here. So there's lots of funding.  The government funding is, as we said, consistently slow. In the end, it'll take 10 years, a lot longer than we anticipated. But in the end, it will also be larger than we anticipated. So you're seeing that continued quarter-on-quarter trickle that's coming through and all the debates that are going on, right.  And then with regards to deployment, we can get into the whole immigration thing, but the job market is still strong. So, to your point on hiring people, yeah, I was with a customer the other day and they literally at any point in time have 1,100 open jobs. 1,100! And if you look at the job adds in the US market, like I believe last month was 330 and then the month before we 600 and then the month before it was hundreds of thousands. The job market is really strong. There is no recession. So they have to hire good people, they have to train them, and they have to bring them forward. By the way, if you're looking for a job, they're paying 70 grand for someone [indiscernible], like out of school. So, there's lots of opportunity. But, yeah, those are normal headwinds, but they're positive headwinds, because the economy is so strong.
Ryan Koontz: In terms of the product mix there, it sounds like it was great quarter for access sales. That's great to hear that footprint going out. I assume the kind of softer Revenue EDGE is mostly from customers reducing their kind of inventory holdings around customer prem type hardware. Correct?
Cory Sindelar: Yeah, Ryan. Like my prepared remarks said, it was the normalization of the supply chain. We started seeing the lead times pull in. That consequently allowed us to reduce our lead times to customers. And so, we've been working with our customers to help reduce their inventory levels. They can become more capital efficient, so they can start taking down their inventory level. That's what you're seeing. So, not obviously concerned about it. Obviously, by our second quarter guidance that we gave, obviously, we're seeing another sequential quarter. And so, there's obviously no air pocket behind this reduction in supply chain or a reduction in premise systems shift.
Michael Weening: I'll just add one comment. And that's that, again, back to this whole concept that we're in a new market, and we are a different company, and everyone needs to start thinking about us as a different company in a different market. Part of that is, we understand exactly their deployment rates, we understand everything they're doing, we know how much inventory they have. And therefore, the key word that you heard from Cory was actually working with and manage, in no way shape or form is anything a surprise to us because we generally are now seeing if they're having a problem beforehand, and that's what our customers success army is for. They pop in and they say, hey – we say, what, your deployments are slowing, what's going on? Oh, it's because I can't get my permits fast enough. Or I'm struggling. We then subsequently go on top of that and we look at, for example, every time they install a new router, we're saying what is your attach rate on CommandIQ, which is our mobile app? Are you ensuring every one of your customers is getting the mobile app because that becomes an early seed to driving upsell with managed services. So, it's not just about the hardware and everything else. It's also about making sure they have a really strong business for the long term and win against the legacy providers.
Ryan Koontz: Just a quick question, a quick follow up on RPO. Cory, didn't quite see the release of the numbers of current versus total RPO in the letter. Was there any mix shift at all in current versus total RPO in the quarter?
Cory Sindelar: No, Ryan. Nothing substantial.
Operator: Our next question is from Fahad Najam with Loop Capital. 
Fahad Najam: Cory, Michael, I'm trying to model a little bit differently given your shift in how you disclose numbers. And the way I'm thinking about is average revenue per BSP. If I look at it, I see a trend starting 3Q 2022 where you really started to kind of see a ramp in or, I guess, growth in average revenue per broadband service provider. One, as you head into the second half of this year, how should that normalize? One, I guess, what was that catalyst event that started in 3Q 2022 that really expanded your average revenue per BSP? And then how should we be thinking about it in the second half of this year as it normalizes against a tough comp? 
Michael Weening: Fahad, I guess I'm not exactly following your line of questioning. 
Fahad Najam: I take your revenue and I divide that by total broadband service providers that you disclose, and I see a trend of average revenue per BSP, and I see that the average revenue per BSP is growing considerably over, like, this starting second half of 2022. Is that anything that is, I guess, driving that step function improvement?
Michael Weening: I understand what you're trying to do. I will not read anything into it. So, for example, our definition of a small service provider is from 0 subscribers to 250,000 subscribers, right? If that customer who has 250,000 subscribers, if they're actually a really good executing Calix customer, their market share is about 60%. So they have significantly more homes passed. If they're actually early stages of their deployment, those 250,000 subscribers could only be 25% market share on a broader goal, right? And so, as you go and use that logic, I think there's a flaw to it. The other part of it is that 250,000 at $100 a month means that that's a $300 million company. So there's all kinds of ways you can parse this. I just don't know if that's the right thing. And Cory would like to take that question offline and explore it and see if we can understand more how you're thinking about it.  But with regards to our business, large customers, small customers, again, small customer can be a $300 million business. So there's all kinds of variables in there and it's lumpy and all the different elements. So I would say no, but Cory will take it offline with you.
Fahad Najam: I was going through the proxy filings and I noticed that, I guess, the orders were in the order of $1.3 billion, which gives you significant visibility. Can you just maybe talk about the momentum in orders?
Michael Weening: Fahad, we don't talk about bookings. Demand is strong. 
Operator: Our next question is from Tim Savageaux with Northland Capital Markets.
Timothy Savageaux: Congrats on the quarter. Hopefully, you do talk about cash flow, though. That's my question. You saw a nice increase in cash in the quarter. And I know they've been talking to you guys previously, and I think Corey mentioned some purchase commitments coming down. Do you still anticipate there to be a significant positive impact on cash flow from both, obviously, ongoing operations, but this kind of balance sheet impact, kind of maybe review how that works and what your expectations are? And then any comments on capital allocation, given the strength in cash flow on the balance sheet and especially where the stock is? 
Cory Sindelar: Yes, over the course of last year, we used a lot of our cash from operations to buy inventory. And now, as we are getting to a plateau, you can see that the rate at which we're investing in inventory is slowing. Consequently, that's going to free up the profitability of the company into additional free cash flow. So we are expecting, as we progress through 2023, an increase a significant increase relative to where we've been of more cash. Over time, we would expect our inventory to normalize and started coming back to where we were pre-pandemic, and that will then free up additional cash, but that's still a ways away. We need lead times to come back in back when they were and that will make that trend happen.  In terms of capital allocation, it's a process that we have that we look at every quarter. And as we think about our cash, there's an opportunity cost with use of our cash. Our decision to allocate capital kind of relates to its opportunity costs. Cash that could be used to operate a growing business comes at a very high opportunity cost. Cash for those strategic investments would come in at a high opportunity cost. Cash beyond those categories would be at a lower opportunity cost. And as we generate more incremental cash, the opportunity cost goes down. In other words, the price at which we're willing to do that to buy shares goes up as we accumulate more cash.
Timothy Savageaux: Any updated quantification on – I think you talked about before, I don't know, tens of millions coming off the balance sheet. But as we sit here, any updates on that? Are we still in the same range in terms of incremental free cash? 
Cory Sindelar: Tim, I expect we'll start seeing double-digit cash generation. Double digit millions, yes. 
Operator: Our next question is from Greg Mesniaeff with WestPark Capital. 
Greg Mesniaeff: Congrats on the print. Last couple of quarters, your OpEx levels are running a little hot, I thought. And I was wondering, as we look beyond the guidance you gave for the June quarter, what should we kind of be modeling as far as OpEx levels? Do you foresee continued investment in sales and marketing? Or do you see those OpEx levels starting to moderate in the second half of the year?
Cory Sindelar: I would give you the same counsel that I would give you every quarter, which is that we're going to continue to invest according to our target financial model. We haven't deviated from that. You can see in the quarter that we were a little bit higher on the engineering side, a little bit less than G&A. But for the most part, we're executing very predictably and to our model. So, as we continue to grow the top line, there will be incremental investments up into, I guess, the word we like to say is we're going to invest fulsomely to our target financial model. Specifically, every area will grow according to the model. 
Michael Weening: I'll add on to that. Look, we're in a new market. It's the beginning of that new market. It's a once in a generation opportunity. In fact, new markets don't happen in not once in a generation opportunity. And for us investing to our model fulsomely is actually the team doing their job as leaders and making sure that we drive organic growth in this new market, and it's the key. So, we will continue to invest to what we've predicted for everybody to ensure we can take advantage of this opportunity. 
Cory Sindelar: And one last thought on this point. I will highlight, in the fourth quarter, we have our connections, user group events. And obviously, sales and marketing will tick up by an incremental percent in the fourth quarter.
Greg Mesniaeff: Just to quickly recap, you had mentioned earlier in answering a question that regarding the broadband stimulus roadmap that basically it's taking longer, but should be bigger at the end of the day. Is that right? 
Operator: Our next question is from Michael Genovese with Rosenblatt Securities.
Michael Genovese: I guess first of all on gross margins, there was a little bit of upside in the first quarter, a little bit of upside in the second quarter outlook. I'm assuming that with the mix shift to infrastructure, that's probably a mix shift – to Intelligent Access EDGE, that's probably a function of supply chain. But I wanted to check with you if that's right or if we're also seeing the business models and mix shift to software, cloud recurring revenue driving the gross margin, how do you think about that for the first half of 2023?
Cory Sindelar: You're exactly right, Mike. It's both those things, right? So it's the continued adoption of our software that's obviously giving us a margin uplift as well as you're seeing the access business itself driving some of the margin expansion from a product shift. I expect that that will continue to normalize. Meaning, I think we'll go back to more [indiscernible] in the back half a year. And I think it's just the lumpiness related to a couple of our customers in terms of when they want to take the delivery of their systems. You've seen this in the past, when we had a customer of Europe wanted to get all their equipment [indiscernible] warehouse at the end of the year. It's just the normal process of large customers on the timing of shipments. But over time, we just continue up into the left, but it can be lumpy on how we get there.
Michael Genovese: Just to be clear, mix shift to Revenue EDGE in the future should have more positive gross margin implications. I mean, more powerful than what we're seeing currently. Is that correct?
Cory Sindelar: For sure when you're looking at the managed services and everything that attaches on top of it, for sure. That's the greatest portion of the reoccurring revenue comes on prem systems.
Michael Genovese: Finally, a lot of good questions were asked on the conference call already. But I wanted to ask about the new customers in quarter falling to 11. You think that there's a macro reason for fewer new customers. And, obviously, the expand part of the models working really, really well. But as we look to the rest of the year, on the land part, should we think about this lower number being the new normal? Or do you think that we could go back to what we saw last year, the year before?
Michael Weening: Yeah, it's a good question. So, remember, in that number, there's two component parts to that. The first is it could be an existing service provider who's actually now recognized that they need to create a new business and they're joining Calix for the first time, right? Or it can be someone actually starting a broadband service provider, which is something that we've seen a lot over the last couple of years. And, clearly, with the rise in interest rates, that has made the hurdle for someone to acquire capital to start a brand new company harder. And so, we noticed that happening in the market for sure. What's interesting, though, is that the ones who did get capitalized, our analysis is that they're getting a lot more capital than we anticipated and they're going to be more successful over the long term because they built into their business model this significantly higher margin model affiliated with Calix and everything they were doing from a platform and managed services point of view. And so, their investors are saying, hey, let's go big. And so, what will it be long term, we'll see.
Michael Genovese: My very last question is, I just wanted to check, is Carl in the room. Is he on the call?
Michael Weening: In the corner. 
Operator: Our next question is from Scott Searle with ROTH MKM.
Scott Searle: Nice job on the quarter. Maybe for starters, can you just talk a little bit about linearity in the quarter, what you've seen through the first quarter and kind of early parts of the second quarter here? And also, on the small customer front, taking a little bit of a pause, seems like it's a managed inventory reduction on your part. Are we through that? Do we start to see a sequential increase back within the small customer base into the June quarter and beyond? And then I had a couple of follow-ups.
Cory Sindelar: Let's start off with your linearity questions. Linearity was good in the quarter. You can see that in the fact that the DSOs are down. So that was a very positive trend, and it has continued.  And as it relates to the second part of your question, Scott?
Scott Searle: Small customers, in terms of the [indiscernible].
Cory Sindelar: It likely continues into the second quarter, but obviously it's something we're not very much worried about as we've been showing the sequential increase in revenue quarter-on-quarter. And so there's going to be a little bit of that as we continue to normalize the business. 
Scott Searle: If I could, Mike, from a high level, when you're in discussions with your current customers right now, how are they thinking about their build out plans in terms of footprint expansion versus harvesting within the existing footprint as we kind of look at the second half of this year and maybe early thoughts on 2024?  Also, in terms of the Revenue EDGE side of the equation, how should we be thinking about the incremental services and adoption of those services? I know you give numbers in terms of how many customers have adopted one service or more, but I'm wondering if there were some other metrics or idea that you could help us see into in terms of penetration of multiple services, targets on that front from customers and the velocity on that front? I know we get an RPO number, but if there's some other metrics we could think about.
Michael Weening: First of all, the customers now, they're thinking about their business. I would actually say every single one of them is thinking in both ways, right? Unless they're like a key provider and you're seeing that from some of the big ones. Two, with interest – we see this all the time with large public legacy service providers. As interest rates increase, they're actually pulling back on CapEx because their margins are declining and this is a way for them to fund it. So they slow down, and our customers are seeing this as an incremental opportunity, right? Hey, we're going to go build out this town, now they're going to do it even faster, they still have access to capital because, again, their business as a whole is radically higher margins, therefore, they can pursue, they can actually get all the capital that they need. So they're looking at quickly going into a new market.  And I'll give you an example. We had a service provider in recently, and what they did was they shared out their spreadsheet and we went through 10 different markets that they're looking at towns and they had profiled out who the competitors were and a number of those places were legacies. And they were saying, let's build out a joint plan to actually attack those legacy providers and take share and where should we attack, right, and we helped them identify who we thought was weakest and best place to go. On growing their existing business, this goes back to the whole customer success discussion, the whole point of our business model is that land and expand, and that permeates over to the customer's business model, in that they're a land and expand also. In the past, all they ever did was they would sell a pipe, and that's it. And then I would hope that I would monetize. And generally, that means that, over time, they're under pressure because someone else or the cheap price, whatever it is, now, their whole business model is I land in the home or the business, I'm selling all these incremental services, I expand my margin and my revenue inside that account, but I also make it wickedly sticky, so that if somebody comes in throws – legacy provider who is only speed throws in some cheap price, the customer is going to say, no, I've got all these great services coming from [indiscernible] broadband company, I'm not even going to consider that cheaper price because the service is so incredible. And by the way, my NPS is 75. So these customers are incredibly loyal. So that grow is absolutely front of mind.  And that, I guess, comes to the core of what we're doing in this new market. It is a new market with a new business model and we're teaching these customers how to transform their businesses and disrupt the legacy companies.  Now with regards to your question on incremental metrics beyond RPO, we consider that competitive and, no, you can just assume that, again, we have a growing customer success army that spends every single day helping our customers use best practices and insights and understanding what works and what doesn't, segmenting data, all these different elements to grow their business.
Scott Searle: Mike, just to quickly follow-up in terms of your commentary of the changing landscape and enabling the thought leaders. But for the broadband Luddites, is there an epiphany ongoing here that it's driving more conversations with them on that front? Or is that something that takes longer?
Michael Weening: No. Well, I don't know if it's an epiphany. I'd say it's your normal product adoption curve. You always start with the innovators who are those thought leaders. Then you follow-up as the market matures. And if you look at our press releases, what are you seeing in those press releases, story after story after story of customer success and customer success and what's possible, and what kind of NPS they're driving, what margin levels they're driving, all these different things. So as we go through a normal product adoption curve, you're going to continue to see more and more growth and even somebody who is a legacy provider who has never thought that way at some point, everybody's going to have a different realization and say, oh, my gosh, the whole markets changed, it's a new business model and there's this once in a generation opportunity for me to grow my business in all kinds of different ways. But, clearly, the only company that I can do that with is Calix.  And so, I wouldn't say it's like – everyone has different epiphanies at different times and we're moving up into the right and that's just going to continue and that's why we have our press release here. 
Scott Searle: Mike, lastly, if I could, on the managed services front, I think you're up to 80 now that have officially been launched, but I was wondering if you could talk a little bit about the pipeline, the level of interest and kind of what you guys are wading through there, if there are any targets that we should be thinking about? And maybe quickly, like an update on things like SmartBiz and SmartTown.
Michael Weening: Well, it's early days. And as we say, as evidenced by the fact that there are 334, you'd look at the – we added 41, that's great. So to your point on when they had the epiphany, while those 41 decided that that's the right time to get into starting to explore managed services. And again, what's the pipeline? It depends on the customer, right? I was with one CEO last week and he has an incredible go to market, he's got all his build plans in place, he's really focused on operational efficiency and customer satisfaction. It is his first go-to-market with a clear recognition that as he lands, then he will be able to expand in those existing markets over time. So, what's the uptake on these services, it really depends on the customer and where they are in their market needs. Someone who's very mature is adopting, I would say, more managed services to differentiate. Somebody who is just building out is going to be in a different mindset.  And with regards to all the managed services, look, they're unique. This is a new market, we have a new business model, and what we've done with small business and SmartTown, they've never been done before, and they're super exciting. And so, our customers, if they're deciding, hey, you know what, it's not the right time for me today, maybe it's six months, maybe it's a year from now, everybody's talking about it. That's what we do.
Operator: There are no further questions at this time. I'd like to hand the floor back over to Jim Fanucchi for any closing comments.
Jim Fanucchi : Thank you, Paul. Calix's leadership will participate in several investor events during the second quarter. Information about these events, including dates and times and publicly available webcasts, will be posted on the Events and Presentations page in the Investor Relations section of our website. Once again, thank you to everyone on this call and webcast for your interest in Calix and for joining us today. That concludes our conference call. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.